Operator: Good morning, and welcome to H&R Real Estate Investment Trust 2025 First Quarter Earnings Conference Call. Before beginning the call, H&R would like to remind listeners that certain statements, which may include predictions, conclusions, forecasts or projections, and the remarks that follow may contain forward-looking information, which reflect the current expectations of management regarding future events and performance and speak only as of today's date. Forward-looking information requires management to make assumptions or rely on certain material factors and is subject to inherent risks and uncertainties, and actual results could differ materially from the statements in the forward-looking information. In discussing H&R's financial and operating performance and in responding to your questions, we may reference certain financial measures, which do not have the meaning recognized or standardized under IFRS or Canadian Generally Accepted Accounting Principles and are therefore unlikely to be comparable to similar measures presented by other reporting issuers. Non-GAAP measures should not be considered as alternatives to net income or comparable metrics determined in accordance with IFRS as indicators of H&R's performance, liquidity, cash flows and profitability. H&R's management uses these measures to aid in assessing The REIT's underlying performance and provides these additional measures so that investors can do the same. Additional information about the material factors, assumptions, risks and uncertainties that could cause actual results to differ materially from the statements in the forward-looking information and the material factors or assumptions that may have been applied in making such statements, together with details on H&R's use of non-GAAP financial measures are described in more detail in H&R's public filings, which can be found on H&R's website at www.sedarplus.com. I would now like to introduce Mr. Tom Hofstedter, Chief Executive Officer of H&R REIT. Please go ahead, Mr. Hofstedter.
Tom Hofstedter : Good morning, everyone. And thanks for joining us. I'll pass it on to Larry Froom, our CFO, to give you the highlights of the quarter. Larry will then pass on to Ms. Watson. I'll hand over to Larry Froom to give us the highlights of the quarter.
Larry Froom : Thank you, Tom. And good morning, everyone. In my comments to follow references to the growth and increases in operating results unless stated otherwise are in reference to the three months ended March 31, 2025, compared to the three months ended March 31, 2024. In 2017, we sold $429 million of listed assets. In Q1 of 2025, we sold eight retail assets for $60 million 70% of our real estate assets are now in The United States. Overall, given the movement we face of multifamily supply concerns, the weak office markets, inflation as well as a tariff war creating general market uncertainty will vary clearly to our results and in particular the 4.4% growth in property net operating income on a cash basis. Breaking this down between our segments, residential segment and property net operating income on a cash basis decreased by 0.8% in U.S. dollars. The new supply added in our residential markets is being absorbed. The positive immigration trend has continued, and our tenants are also staying longer. Emily will provide more details shortly. In our office segment, same property net operating income on a cash basis increased 1.2%, primarily due to the strengthening of the U.S. dollar. There has been a slate of back-to-the-office policies from different companies, and it seems clear that more and more employees are heading back to office, which is positive for the sector as a whole. Our office portfolio of 60 properties, which includes four properties with residential rezoning opportunities, now only comprises 18% of H&A cost of our portfolio by value. 87.8% of our office revenue comes from investment-grade tenants, a testament to the quality and location of our office properties. Our office occupancy at March 31, 2025, was 96.7%, with an average remaining term 5.8 years. Retail portfolio at march 31 2025 comprises 15% of the H&R's overall portfolio of our value. Retail segment's same property net operating income increased 8.2% due to occupancy gains at River Lending and Forex. The tenants in our retail portfolio are predominantly grosses and portfolio at the very stable. Industrial segment same property net operating income increased 4.5% and total portfolio of 65 properties at March 31, 2025, comprises 18% of H&R's total real estate assets value and continues to perform well. From the announcement of H&R's strategic plan, H&R's average Canadian industrial rent increased from $7.17 per square foot as at June 30, 2021 to $9.52 per square foot as of March 31, 2025. In addition, industrial properties located in the GTA made up 59% of H&R's industrial portfolio as at June 30, 2021, compared to 69% of H&R's industrial portfolio as at March 31, 2025. Headline data for the unit for Q1 2025 was $0.297 the same as Q1 2024. We are pleased with these results as we have sold $489 million of real estate assets since January 1, 2024. Our balance sheet remains strong. Debt to total assets at the REIT Proportionate Debt on March 31, 2025, was 44.1% and debt to EBITDA was a healthy 9.3 times. Liquidity at March 31, 2025, was in excess of $870 million with an unencumbered property pool of approximately $4.5 billion. Our unencumbered assets to unsecured debt coverage ratio was 2.3 times at March 31, 2025. And with that, I will turn the call over to Emily.
Emily Watson : Thanks, Larry, and good morning, everyone. Today, I'm happy to share our first quarter performance for our multifamily platform and some operational highlights. Our first quarter results have aligned with our expectations. Our multifamily platform continues to benefit from strong demand as evidenced by stable resident retention and a delta to homeownership. Additionally, continued job and wage growth further demonstrates strengthening drivers for our industry. Rather than opining on headlines, we remain focused on the fundamentals of our business and continue to create NOI expansion through our repositioning opportunities and other innovative value-add strategies that add to our bottom line. Given the declining levels of new supply ahead and growing demand in our markets, we are well-positioned for substantial growth and value creation in coming years. Same property net operating income from residential properties in U.S. dollars decreased by 82 basis points for three months ending March 31, 2025, compared to the respective 2024 period, primarily due to a decrease in average rental rates and higher property operating costs from H&R Sunbelt properties. This was partially offset by rental growth from H&R's Gateway City properties. Same asset occupancy ended the quarter at 94.4%, a 60-basis point decrease over the fourth quarter and no change from Q1 of 2024. Same asset occupancy in the Sunbelt decreased 70 basis points in Q1 to 93.7% over the fourth quarter. Jackson Park was 98.9% occupied with 75% retention. The Sunbelt continues to show strong demand metrics as supply deliveries have passed their peak. Our Sunbelt resident retention was 57% in Q1 and achieved a 60% resident retention in April. Blended lease trade-outs for the Sunbelt markets were negative 2.1% in the first quarter, an improvement of 380 basis points over fourth quarter, and Q2 blended trade-outs are positive 10 basis points to date. These results demonstrate the worst is behind us, and we will continue to see improvement as supply decreases throughout the year. Based on a third-party appraisal and a handful of Sunbelt sales comps, we have maintained our fair market value Sunbelt cap rate at 4.96% and believe the rate is appropriate and supported. Cap rates are expected to remain low, relatively speaking for institutional quality assets in the Sunbelt with capital flows interested and focused on long-term heavy Sunbelt multifamily allocation. On the development front, Land Tower West Love in Dallas, Texas continues to lease well despite the record level deliveries in Dallas. The community is currently 65.4% occupied and 70% leased. The property was completed on time and on budget. Also, in Dallas, Texas, Land Tower Midtown is currently 58.6% occupied and 62.6% leased. Both properties are leasing well with an average monthly velocity of 24 leases per month, which is above industry reports for our market and a testament to the superior product and unparalleled amenities our development team has delivered. Midtown was also completed on time and on budget. REIT properties are progressing well and remain on budget, with completion expected mid-2026. Land Tower currently has an additional nine development projects in the Sunbelt pipeline totaling over 2,900 suites at H&R's ownership interest, with multiple sites ready and prepared for construction. We are progressing through different phases of design, drawing and permitting on the remainder of our Sunbelt development pipeline and currently have four projects fully permitted. In summary, Land Tower's platform has demonstrated remarkable resilience and performance relative to our peers. Our teams have navigated supply challenges and remained laser-focused on innovative practices, including centralization, property-wide Wi-Fi opportunities and AI applications that enhance NOI margins and continue to yield positive results. I want to extend my gratitude to our incredible teams, whose dedication to excellence and innovation has been pivotal in achieving these outcomes. And with that, I pass along the conversation to Tom.
Tom Hofstedter : Operator?
Operator: Thank you. Are we ready for questions at this time?
Tom Hofstedter : Yes, we are.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from Mario Saric of Scotiabank. Please go ahead.
Mario Saric: Hi, good morning. Just maybe starting off with Emily at Land Tower. Can you just I may have missed the numbers, but can you just go through what the blended lease spreads were in Q1, where they kind of stand so far in Q2 and what the expectation is in terms of them becoming sustainably positive timing wise, going forward?
Emily Watson : Good morning, Mario. That's a great question. So, our same-store blended trade-offs were negative 1.4%, with the new lease negative 7.3%, and renewals were 3.3%. For the Sunbelt specifically, the new lease trade-offs were negative 5.6%, percent, which was an improvement. It was 13.8% in the fourth quarter. And renewals were 3.3%, which is an increase from 2.2% in the fourth quarter. So, the blend in Sunbelt alone were negative 2.1% compared to a negative 5.9%. So, we are positive 10 basis points in the Sunbelt as of yesterday. But we still have some headwinds ahead of us on the supply. Supply is expected to be about 75,000 units in 2025, with pretty heavily in Q1 and Q2 and then drops off in Q3 and Q4. So, I still maintain that I think we'll still maybe come in a little bit negative in Q2, and that will start seeing positive in Q3 and Q4.
Mario Saric: Got it. Okay. So, no real change from the view three months ago?
Emily Watson : No. Our renewals are a little bit better than what I had anticipated, and retention is better. I'm really pleased with the 60% retention in April. And we've already closed out April above a 3% renewal, and we have 4%, and it's still really early for our May, I mean for our June renewals, but they're coming in at around 5%. So, definitely see momentum picking up, but still in the same cadence that I had originally anticipated, that Q3 and Q4 are going to be really where we've seen some pickup.
Mario Saric: Got it. Okay. My second question is maybe just for Tom on capital recycling, specifically asset sales. I think in the press release, you kind of highlighted perhaps the desire to do more transaction volume, but Larry kind of list up the myriad of factors that may be preventing that in the short term. So, can you just give us an update in terms of what your thoughts are? And whether anything has changed with respect to timing on Echo, Hess and some of the other initiatives that you have in the pipeline?
Tom Hofstedter: There's no news on Hess as far as the Chevron Hess issue goes. We expect it to go to the courts in June, with a resolution sometime in September. We're looking to put that behind us. I think what the market doesn't like about that is the uncertainty. Once there's certainty, we can actually then go forward with something. We can sell it at that point in time. Until that point in time, we really can't do anything, nothing new on there. Nothing new on Echo. Echo is still, we're still planning to go forward as was previously discussed. We're not going to push sales into this illiquid world right now. I think the summer is going to be very, very sleepy overall. And we'll look to September to see if the market there's a little more vitality, a little more awakeness to the market, and then we'll resume some sales.
Mario Saric: In your view, what are kind of the one or two top macro factors that are kind of driving the liquidity in the market and what do you look at?
Tom Hofstedter: Well, the liquidity in the market, there's no debt or equity. So, let's start there. In order to have a sale, you need both of them. And you can't have equity without debt, and you can have debt without equity. So, both of them have to wake up. I think that Trump created with his tariffs a co pile of uncertainty in the marketplace, which is primarily obviously industrial and office. And until that's a little bit settled down, I think there's going to be people going to be reluctant to go ahead and jump into industrial or office. So, I think you need a little bit more visibility to what's going on in United States and geopolitical as well. Therefore, I expect, as I said, to December, not a whole lot to happen. And hopefully, we look to September, where people will want to start doing business again, and hopefully, we have more of a positive momentum. But overall, the situation, not only in Canada, everywhere, is very, very lethargic right now. It's a wait and see game to see what happens geopolitical and the tariffs and recession, and its rates and everything else that's out there.
Mario Saric: Okay. All makes sense. Thanks, Tom.
Tom Hofstedter: Thank you.
Operator: Thank you. The next question comes from Sumayya Syed at CIBC Capital Markets. Please go ahead.
Sumayya Syed: Thanks. Good morning. Firstly, on land tariffs, it sounds like there was eventually there was improvement there. I saw some reference in addition to the lower rent commentary around some higher operating costs. I'm just wondering what's the outlook there, and were the costs just higher on seasonality or something else there?
Emily Watson : Great question. So not really. In Q1 of ‘24, we had well, I should say in Q4 of 2023, we overestimated the bad debt, and a lot more people paid in Q1 than what we had anticipated or Q4 than what we anticipated. So, it was really a reversal. Our bad debt, so it shows an increase in bad debt, but our bad debt in Q1 was 53 basis points, which we were really pleased with. So that was part of it. We also had a little bit higher payroll costs due to a couple of things. One, we usually run about 7% vacant open positions, and we've been running about 4%. So that's kind of good news is that we are more fully staffed than what we have had in the past, as well as bonus attainment was a little higher in Q1 than what it was in Q1 of last year. So, nothing that I think will be that concerns me at all. Our NOI margins are still 59%, 60%. So, I think what we're doing is working, but not anything that I'm concerned with. Rental rates, supply-driven, so we are seeing more concessions in the market that will burn off, which kind of pleased that people are seeing the optimism in what's coming ahead in Q3 and Q4. So, nothing I'm concerned about and kind of aligned with our expectations.
Sumayya Syed: Okay, got it. And then just moving on to the retail exit strategy, maybe a question for Tom. So, besides Echo, you have about $600 million of other retail and putting aside River Landing, the remaining assets, I guess, appear to be more liquid and in demand. What will be the outlook for disposing of that bucket, and could that be more near-term than resolving Echo?
Tom Hofstedter: We don't look to sell that on bulk. So, we look to do the same program we did with our oil facilities in The United States. We've been selling them gradually over the past few years, one at a time and achieving solid pricing. Those assets are worth more on a one-off basis, so we could look to start the program of selling them, but it's not going to be $300 million or $400 million of sales at one time. I don't think that's the right way to go with that portfolio.
Sumayya Syed: Okay, got it. Thank you. I'll turn it back.
Tom Hofstedter: Thank you.
Operator: Thank you. The next question comes from Matt Kornack at National Bank Financial. Please go ahead.
Matt Kornack: Good morning, guys. And just we've talked a lot about the supply picture in The U.S. Multifamily space, but just interested in your view on demand and just the drivers. I know obviously there's been a lot of interstate migration to the Sunbelt. But how should we think? I mean, interest rates are high, so presumably homeownership is not necessarily an alternative, but are you fully expecting that the demand will be stable as the supply comes off to drive kind of that inflection?
Emily Watson : Good morning, Matt. I do. In fact, Q1 set a record for Q1 demand nationally. So, the in our respective markets, we have soared 28,000 units and projected 86,000 for the year. So just to put some perspective around that, our all of our Sunbelt markets in 2024 absorbed 98,000. So, for 28,000 in Q1, we were really encouraged by that. And we see the momentum picking up in different areas. So, I don't -- we still have people that are relocating headquarters to Dallas often. We're not subjected really to the port anything that happens with the tariffs in Houston. So, I definitely anticipate the demand to and so does the economists. You probably read the same headlines that I do. But yeah, we are seeing things that are supporting the forecasted demand in all of our Sunbelt market. And it's still a 60% discount to if you owned your own home in our market. So that's a pretty big delta, but you still see delay in marriage and having babies and kind of all of those fundamentals are ringing through. So, I don't see anything that would suggest otherwise that demand is not going to be sustainable. Are you still there?
Matt Kornack: What portion of that would be destined for redevelopment versus the stuff that you'd be trying to kind of renew tenants? Or if it is destined for redevelopment, would you try to renew on a short-term basis at this point?
Emily Watson : Matt, I'm sorry. I missed half your question because the phone cut out. Do you mind repeating it?
Matt Kornack: It was on office. So, Emily, you're --
Emily Watson : Okay. Looks like good.
Tom Hofstedter: I think we Matt, we all missed the question. What was that?
Matt Kornack: Okay. I was looking at your, lease maturity profile, and you do have about a 1 million square feet of office maturities over the next two years in Canada. And just wondering how much of that would be destined for redevelopment versus releasing? And if it is destined for redevelopment, at this point, are you kind of trying to renew people on a short-term basis as opposed to letting those go vacant?
Tom Hofstedter: So, there is no residential market to speak of. So, we're looking to renew them on a short-term basis over the sale and demo clause. And that will be applicable to the leases that are rolling in Front Street, the leases that are rolling in United States and the Hess. That will be we're negotiating right now with tenants, and we have completed some of those leases that's going to be released. That's not satisfactory development. And Bouchard, which is 2026, that is not that's for redevelopment that will not be released. That may be extended by Bell as they need to stay on a little bit longer, but we're not looking to release that building.
Matt Kornack: Okay. So, you wouldn't expect a material increase in vacancy in the office portfolio in the near term at this point?
Tom Hofstedter: No. What I just mentioned, you have 140 East sorry, you have Front Street, which again that will be still it's released, it's vacant. And you have Bouchard, which is 2026, which will stay vacant. You have 145 Wellington, which is slated for ultimate redevelopment that's 10 years plus down the road. So that's not that's going to be released. There's nothing there anyhow though. I'm just mentioning it as a footnote to the fact that it's a residential redevelopment. And Hess, as I mentioned with this 2026 that will be released. And there's downside. There's the leasing up and then the CIs information, so it takes time.
Matt Kornack: Okay. Fair enough. Makes sense.
Operator: Thank you. The next question comes from Jimmy Shan at RBC Capital Markets. Please go ahead.
Jimmy Shan : Thanks. So, just first on the HBC industrial lease, it looks like there's a decent amount of upside here. So, what's the sequence of events from here? And what's the prospect of leasing that space when you get the space back?
Larry Froom: I think within a matter of weeks, subject to the courts and releasing, we're already talking to potentials. The releasing is strong and the rental rate, my guess is, will be $14 ish, something like that.
Jimmy Shan : Okay.
Larry Froom: We're already in negotiations with potential tenants. We don't that's not going to be a problem. That will lease.
Jimmy Shan : So, a little bit of downtime and then probably sometime in the back half of the year.
Larry Froom: Yes.
Jimmy Shan : Okay. So, on Echo, I noticed in Q1 the NOI dropped a decent amount from Q4 ‘24. I was wondering is there some seasonality there or would account for that drop?
Larry Froom: Good morning, Jimmy. I didn't I'll have to get back to you on that one. There wasn't anything substantial that we saw from there. I think if you're looking at it, just be careful when you're looking at it to back out the IFRS '21 because we would have accrued royalty taxes for the whole year in the Echo portfolio. So maybe looking at it with better, can you back that out?
Jimmy Shan : Yeah, that might be it. Yeah. Okay. And then on still on Echo, Tom, I think you mentioned you're not going to push a sale. Have you tried to push a sale in the last few months? And then, when you're thinking about potentially putting it in the market, September, are you looking to sell just your LP interest, or could the entire portfolio be also considered for sale?
Tom Hofstedter : So, we haven't put it on the market. It's still we haven't awarded it to an investment banker to proceed with. We are having discussions with the potential candidates in that regard. It will be -- we don't know really, we're going to put it out there and see where you land. You'll see if there's an interest for our interest or if there's an interest in somebody coming in taking our interest in treasury. It could be anywhere where the best deal lies. So, 100% everything is on the table.
Jimmy Shan : Okay. And again, timing-wise, you're thinking probably the fall?
Tom Hofstedter : I don't really know. It's not market conditions-driven. It's just getting all of the again, there's many, many investors you can look at as a public company. So, it's not just it's not H&R definitely saying let's go, and it's not necessarily the board saying go. You have to appreciate the fact there's like, I would say, close to 500 investors, family, multiple family investors. This is a company that's probably 130 years old. There's many, many layers of family. So, till they get all their votes and all the every their ducks in a row, I can't really control the timing. So, I don't want to say fall. It's hard to predict that level of surety. But in the near future, in the foreseeable future, I expect it to happen. Don't think I'm not as anxious for it to happen as you may be. It's a solid company and he'll have no debt on when Couche Tard finally closed that transaction, he'll have zero debt. Sales are very, very strong. We have total visibility to each store how it's doing. It's primarily grocery-anchored. There's no risk over here whatsoever. So, it's not a burning issue for me to sell it. The only reason I'm selling it is if you guys keep on asking the question, when am I selling it? If I have my choice, I wouldn't sell it. So, stop asking, I won't sell it.
Jimmy Shan : Okay. And then just last question, remind me again, I know you talked about it. You got a $400 million debenture coming up. What was the plan again on the debenture?
Larry Froom: Hey, Jimmy, we plan to use our bank loans to pay it off. We're just trying to buy that time to see what sales will come down the pipe.
Tom Hofstedter: We haven't mentioned, Jimmy, we have the calendar lens for the future highway extension, and that's going to happen has to happen. They have to go to highway. So that's not really market-driven. It's really and not dictated by us. It's dictated by the government. My guess is it will happen sooner rather than later, and that's a significant amount of money that can come in, and that will solve this answer this question. So, when we have more visibility on this decision, we are talking to the government in that regard. That's going to -- that's why we are procrastinating on that debenture issue. I expect that we're going to have to make a decision sooner rather than later. But again, we are in discussions, and we could have better visibility. If we don't, then obviously, we'll just we'll roll into a new unsecured.
Jimmy Shan : Okay. And what would be rough quantum? Would it be half of the debenture amount?
Larry Froom: You're talking about minimum of 150 proceeds minimum.
Jimmy Shan : Okay. Thanks.
Larry Froom: Thank you.
Operator: Thank you. We have no further questions. I will turn the call back over to Tom Hofstedter for closing comments.
Tom Hofstedter : Thank you, everybody, for joining us. Have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.